Operator: Hello, everyone, and welcome to the Li-Cycle Holdings Corp. Q3 2024 Financial Results. My name is Charlie, and I'll be coordinating the call today. [Operator Instructions] I will now hand over to our host, Louie Diaz of Li-Cycle, to begin. Louie, please go ahead.
Louie Diaz : Thank you, operator. Good afternoon, and thank you, everyone, for joining us for Li-Cycle's business update and review of unaudited financial results for the 3-month period ended September 30, 2024. We will start today with formal remarks from Ajay Kochhar, President and Chief Executive Officer; and Craig Cunningham, Chief Financial Officer. We will then follow with a Q&A session. Ahead of this call, Li-Cycle issued a press release and a presentation, which can be found in the Investor Relations section of our website at investors.li-cycle.com. On this call, management will be making statements based on current expectations, plans, estimates and assumptions, which are subject to significant risks and uncertainties, most of which are difficult to predict and many of which are beyond the control of Li-Cycle. Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect, including because of the factors discussed in today's press release, during this conference call or in our past reports and filings with the U.S. Securities and Exchange Commission and the Ontario Securities Commission in Canada. These documents can be found on our website at investors.li-cycle.com. We do not undertake any duty to update any forward-looking statements, whether written or oral, made during this call or from time to time to reflect new information, future events or otherwise, except as required. These forward-looking statements should not be relied upon as representing Li-Cycle's assessments as of any date subsequent to the date of this call. With that, I'm pleased to turn the call over to Ajay.
Ajay Kochhar: Thank you, Louie, and good afternoon. Starting on Slide 3. We are excited to announce that we have closed an agreement with the U.S. Department of Energy for a loan of up to $475 million, following detailed technical, market, financial and legal due diligence. This loan values an increase of $100 million over the previously announced conditional commitment of $375 million and is expected to support the development of our flagship Rochester Hub project in upstate New York. This is the first DOE loan to be finalized for a sustainable lithium-ion battery materials company and a significant milestone for Li-Cycle. We are only the fifth company in recent years to close a loan under the DOE's ATVM program, which is indicative of the significant amount of diligence and work needed to finalize the direct loan. Our loan agreement is a strong vote of confidence for our patented recycling technology and underscores the importance of our role as a critical battery material supplier in the U.S. battery supply chain. The Rochester Hub is expected to be North America's first commercial-scale hydrometallurgical resource recovery facility and a significant domestic source of recycled critical materials for producing lithium-ion batteries, including battery-grade lithium carbonate and mixed hydroxide precipitate or MHP, which is an intermediate product containing nickel, cobalt and manganese metals. This strategic financing achieves our goal of executing a low-cost long-term debt financing, which will help optimize our capital structure. We'd like to sincerely thank the DOE for their continued support of Li-Cycle and the Rochester Hub project. We're pleased to partner with them as we work to build a sustainable domestic supply chain for critical battery materials in North America. We're also grateful for the bipartisan support for battery recycling and how we can underpin the development of a strong domestic battery supply chain. Turning to Slide 4 for some additional details on the loan. The loan facility offers attractive terms relative to other third-party financing alternatives available to us and is a critical step towards our goal of restarting construction at the Rochester Hub project. The $475 million loan facility includes a principal amount of up to $445 million and capitalized interest of up to $30 million during the construction period. Final maturity is on March 15, 2040, for an approximately 15-year term. Principal and the interest during construction period will not be payable for approximately 2 years after first advance. The interest rate is fixed from the date of each advance to the maturity date of the loan and the applicable long-dated U.S. treasury rate and more importantly, with no spread. The first advance of the loan is subject to satisfaction or waiver of certain conditions and requirements, including completing our base equity contribution to the project. The base equity contribution includes settling commitments related to the project for costs incurred but not yet paid, which is approximately $92 million as of September 30, 2024. Additionally, we also need to obtain financing of approximately $173 million to fund our reserve account requirements for first advance. Of note, approximately $97 million of these reserves can be satisfied via letters of credit. These amounts represent a significant portion of the remaining base equity contribution and are based on current estimates, which may change prior to first advance. There are also among other components of the base equity contribution that will need to be satisfied prior to first advance. For some added detail, the loan reserve account requirements include reserves for construction, ramp-up and Spoke capital expenditures. Funding of these reserve accounts is not part of the CapEx of the project through to mechanical completion. The majority of the reserves are also expected to be released back to the company on or before the completion of the project. We are actively evaluating financing and strategic alternatives for a full funding package needed to restart construction of the Rochester Hub. Turning to Slide 5. We continue to make strong progress on our key objectives. Today, we completed a priority for the year, closing the U.S. DOE loan. Our next steps for our key objectives are: first, to secure a full funding package needed for the restart of construction of the Rochester Hub project, of which the DOE loan is a key component. The full funding package will also assist in the funding of the base equity contribution needed to access first advance under DOE loan. Second, complete our comprehensive review of the Hub project, which includes a technical and economic analysis for the go-forward decision on the MHP scope. We've made great progress on this effort, including completing the technical review of the MHP scope and establishing a strong commercial framework for impairments. In parallel with these objectives, we are continuing our ongoing work on optimizing our Spoke network. We are identifying ways to extract more value from these assets to build a self-sufficient and financially accretive Spoke business. We are focused on our Gen 3 Spokes in Arizona, Alabama and Germany, and as part of the optimization work, we have curtailed operations at our New York Spoke and are continuing closure activities at our Ontario Spoke as previously indicated. Turning to Slide 6 for a recap of the MHP process. Black mass will be processed at the Hub to produce MHP, a combination of nickel, cobalt and manganese metals. MHP could be sold to a refiner ahead of supplying to the battery cathode precursor industry. In our case, we have secured an offtake agreement with Glencore, covering all of our MHP production. We also have existing offtake agreements for lithium carbonate produced at the Rochester Hub with Traxys and Glencore. In the long term, we retain the optionality of the project to produce nickel and cobalt sulfates. For clarity, the production of lithium carbonate remains as originally planned. The MHP process is not new for the company, and it was actually part of our large-scale pilot program completed in 2019 to 2020 and is included in our candidate technology portfolio. Turning to Slide 7 for an update on the Rochester Hub project and the MHP scope. As mentioned, we are excited to have completed the technical review of the Rochester Hub project. We also continue to advance the go-forward project execution plan. The estimated total capital cost of the project to mechanical completion is unchanged at approximately $960 million. Our current estimated cost to complete the project is approximately $487 million, which is inclusive of commitments for costs incurred but not yet paid of approximately $92 million. The total capital cost of the project through to mechanical completion does not include commissioning, working capital, ramp-up and financing or working costs. We expect an annual production of up to approximately 8,250 tonnes of battery-grade lithium carbonate and up to approximately 72,000 tonnes of MHP. The expected nameplate processing capacity remains at 35,000 tonnes of black mass annually. As we announced last week, we've entered into an agreement with Glencore covering the offtake of 100% of the MHP we produce at the Rochester Hub. I'd like to note that Glencore and Traxys' existing offtake rights covering lithium carbonate production from the Hub are not affected by these amendments. With these amended agreements, we have established a commercial framework that provides a strong market foundation for the project. We're pleased to have strong industry partners as we continue to work towards our goal of restarting construction of the Rochester Hub. Turning to Slide 8. We'll take a look at the evolution of Li-Cycle's expected revenue and financial profile. We currently provide services with corresponding revenue for the recycling of lithium-ion batteries. And in some cases, we pay for battery materials based on discount to metal prices, and this is all from a diverse pool of suppliers to produce and sell black mass under contractual arrangements. This results in black mass revenues that are based on current metal prices at the point of sale. A goal of our Spoke optimization initiative is to make this part of our business financially accretive and self-sufficient. Our mid- to long-term goal is to utilize our black mass production of feedstock for the Hub, which will produce battery-grade lithium carbonate and MHP, unlocking significant incremental value. The operationalization of our Rochester Hub will represent a key step change in Li-Cycle's evolution. Utilizing the forecasted underlying metal prices at the bottom of the chart, with the expected Hub production of these critical battery materials, should give you a sense of the inflection point we anticipate in our revenue profile. It is worth highlighting that under the MHP scope, the metal equivalents for nickel and cobalt are consistent with the previous sulfates planned. Turning to Slide 9 for an overview of Li-Cycle's commercial updates. We've established a broad and diversified global base of battery supply customers, including a leading U.S. headquartered vertically integrated EV and battery manufacturer, which is our largest customer source of revenue for the first 9 months of the year and in Q3. We continue to demonstrate our expertise in processing all types of lithium-ion batteries, independent of form factor and chemistry, and are particularly leveraging our Gen 3 technology to support our customers. As shown on the bar chart, manufacturing scrap continues to make up a large part of our battery input feed. The manufacturing scrapping process includes large battery pack formats, which we focus on to leverage the value differentiators provided by our Gen 3 Spoke capabilities in processing this material. We continue to see broad-based support for our differentiated technologies reflected in our position as a preferred recycling partner for leading global battery, EV and energy storage OEMs. Notably, 4 of our top 5 partners for feed intake during Q3 were amongst the largest global EV OEMs. Turning to Slide 10 for highlights on our black mass production and Spoke optimization initiatives. During the quarter, our Spokes produced 1,459 tonnes of black mass and equivalents, progressively higher each quarter this year. Our goal is to take near-term steps towards creating a financially accretive Spoke business. Building a self-sufficient Spoke business will also support our work on securing further financing. As noted, we are prioritizing our Gen 3 Spokes, which can process full battery packs without the need for dismantling. We are optimizing our Spoke facilities to maximize and sustain throughput rates and recoveries, reduce costs and enhance the quality of our black mass. In addition, as you've seen in the last few quarters, recycling services are a growing share of our revenue. We will continue working on these initiatives and focus on our Gen 3 Spokes to build a self-sufficient Spoke business. In line with the strategy, we have curtailed operations at our New York Spoke and are continuing closure activities at our Ontario Spoke as previously indicated. With that, I'll now turn it over to Craig to provide a review of the financials.
Craig Cunningham : Thank you, Ajay. Turning to Slide 11 for a review of our 2024 third quarter financial results. Highlights include strong year-over-year revenue growth and lower SG&A for the third quarter of 2024 versus 2023. Although the year-to-date production is lower than in the prior year, we were pleased to see that the quarterly production of black mass and equivalents increased compared to the same period last year. Black mass sold also increased with almost 2,000 tonnes sold in the quarter versus 892 tonnes sold in 2023. Total revenue increased 79% to $8.4 million. This increase reflects higher recycling service revenue, higher metal prices and favorable mix of constituent metals and lower unfavorable noncash fair value pricing adjustments. We'd like to highlight that our $8.4 million in revenue for Q3 was consistent with the record revenue from Q2 2024, demonstrating continued positive momentum this year. Moving to cost of sales, which were slightly lower at $20 million. Cost of sales attributable to product revenue decreased approximately 3% compared to last year as a result of lower production levels. This was offset by an increase of $0.6 million in cost of sales attributable to service revenue compared to last year due to new service contracts entered. We are pleased to note that SG&A has decreased 50% to $12.9 million versus $25.9 million in 2023 primarily driven by lower recurring personnel costs resulting from restructuring initiatives implemented since the pause of the construction of the Rochester Hub. Adjusted EBITDA improved year-over-year largely driven by a decrease in SG&A and higher revenue. This quarter, our net cash outflows were $27 million less than the previous quarter, driven by lower expenditures from our cash conservation initiatives and $1.1 million raised through our ATM program. I will now turn it back to Ajay.
Ajay Kochhar: Thanks, Craig. Turning to Slide 12. I want to provide an update on the market dynamics in today's battery supply chain. While this year has been dynamic, we believe the long-term fundamentals remain strong for Li-Cycle due to 2 factors: first, the increasing supply of recycling materials and the lack of domestic post-processing capacity; and second, the continued support for building a localized battery and critical material supply chain. The chart on the left shows the rising sales of EVs in North America with a CAGR of approximately 20% from 2025 to 2030 despite current industry headwinds. As shown on the right, the widespread adoption of EV supports the increase in battery materials available for recycling. The increase in recycling materials near to midterm is largely driven by manufacturing scrap, which currently makes a large part of our current feedstock. By 2030, the supply of recycling materials is projected to increase by up to 3x versus 2025 as more end-of-life battery feedstock becomes available. To summarize, the long-term fundamentals of the battery recycling industry remains strong with Li-Cycle well positioned to help bridge the large gap in domestic post-processing recycling capacity with the Rochester Hub. Turning to Slide 13. We believe the current trends towards energy and critical material independence will also continue to be a positive for the battery supply chain industry and our company. A notable example includes the recently finalized guidance on the U.S. 45X tax credit, which provides direct financial incentives to the Hub and supports the development of a domestic, circular U.S. battery supply chain. Specifically, it includes a 10% production tax credit on the lithium carbon expected to be produced at the Rochester Hub, including certain direct and indirect production costs and is available through 2032. In the U.S., battery recycling continues to be a strong bipartisan topic as there is a clear understanding that building of battery supply chain domestically is in both the economic and national security interests of the country. We believe these are positive trends that will help create forward momentum for Li-Cycle and the Rochester Hub and help create value for our investors and stakeholders. Turning to Slide 14 and to reiterate our go-forward strategy and key objectives. First, we have completed today a key priority by finalizing the DOE loan. Second, we are actively evaluating financing and strategic options for a full funding package needed to restart construction of the Rochester Hub project, which includes meeting requirements for the first advance of the DOE loan. Third, we made significant advancements on our review of the Rochester Hub. And the next step, once ready, will be a formal updated final investment decision, or FID, which will be underpinned by the full financing package we're looking to secure, and this will mark the completion of the comprehensive review. And finally, we are continuing to maximize value across our Spoke network by working to build a financially accretive Spoke business that focuses on our Gen 3 technology. Before we get to Q&A, I want to thank our employees and our partners for their continuing support. While the last 12 months have been very dynamic for our company, we have been able to work through challenges and achieve significant milestones because of the support and dedication of these groups. Li-Cycle has clear objectives going forward, and we're focused on capitalizing on these opportunities. Operator, we're now ready for questions.
Operator:
Ajay Kochhar: Thank you. So as discussed, we continue to believe strongly in this market and the role that will play at Li-Cycle in securing energy and critical material independence and as discussed, strongly bipartisan topic and with great fundamental secular tailwinds, even in the long term, of course, the dynamic period we've been going through near term. So we look forward to providing everyone with further updates as we continue to progress. Thank you.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.